Operator: Good day everyone and welcome to the I.D. Systems Incorporated fiscal 2008 year end conference call. Today’s conference is being recorded. At this time, I would like to turn the conference over to Mr. Jeffrey Jagid, Chairman and Chief Executive Officer. Please go ahead, sir.
Jeffrey Jagid: Thank you. Welcome to I.D. Systems fiscal 2008 year end conference call. Thank you very much for joining us today. I’m Jeffrey Jagid, the Chairman and CEO of I.D. Systems. Joining me for the opening portion of our call today are Ned Mavrommatis, our CFO; Ken Ehrman, our President and Chief Operating Officer; and Peter Fausel, our EVP of Sales, Marketing and Customer Support. A Q&A period will follow our prepared remarks. Before we begin, let me reiterate the Safe Harbor statement under the Private Securities Litigation Reform Act of 1995. The following discussion contains forward-looking statements that are subject to risks and uncertainties including, but not limited to the effect of competitive products, product demand and market acceptance risks, fluctuations in operating results and other risks detailed from time to time in I.D. Systems filings with the Securities and Exchange Commission. These risks could cause the company’s actual results for the current fiscal year and beyond to differ materially from those expressed in any forward-looking statements made by or on behalf of the company. For the year ended December 31st, 2008 I.D. Systems revenues were $27 million compared to $17.1 million for 2007. Our gross profit margin for the year remained strong at 50.2%, up from 47.7% a year ago. We were pleased with our 2008 results on many levels. Our increased revenue this year reflect the investment we have made in our sales, marketing and customer service organizations, as well as both organic and inorganic expansion of our product offerings. Our customer facing teams continue to deepen our relationship with core customers, including the United States Postal Service, Wal-Mart, Walgreens and Ford, among many others. The Postal Service has now deployed our wireless industrial vehicle management technology in more than 110 sites, Wal-Mart at 50 of their distribution facilities, and Walgreens at more than a dozen locations. In addition, for most of our customers with large scale system deployments, such as Ford, Target and the companies I've just mentioned, we have entered into maintenance and service contracts. We also succeeded in adding more than 20 prominent new customers in 2008, which increased our penetration of key vertical markets, including automotive, consumer packaged goods, government and retail. This achievement reflects expanded activity in many areas, direct sales and marketing initiatives in North America, coordinated efforts with channel partners and the establishment of our first customers in Europe. Pete will be providing some additional details about these successes and the strategy they reflect. Our unique wireless technology continues to provide substantial economic benefits for our customers primarily by controlling, tracking and managing powered industrial vehicles and related physical assets. Even in the current economic climate we believe that the ability of our products and services to drive reductions in both operating and capital costs will continue to make our technology a compelling investment choice. To maintain our technological competitive advantages in the marketplace, we continue to invest in new system capabilities. For example, in 2008, we introduced a robust secure Wi-Fi version of our Vehicle Management System to meet the needs of companies that wish to utilize existing corporate wireless networks to manage their industrial assets. We also reinforced our IP portfolio with the award of a new patent relating to the distributed intelligence of our technology and we continued to develop in functionality tailored to key markets like defense and aviation. Ken will discuss several of these initiatives further in a moment. In addition, our acquisition of PowerKey in 2008, the industrial vehicle monitoring division of International Electronics enabled us to reposition our product offering so that customers can build their own solution that precisely meets their needs, starting with a competitively priced core system of access control, safety management and basic utilization analysis and expanding as needed with modules focused on advanced safety, productivity, real time visibility, location tracking, messaging, maintenance and other aspects of mobile asset management. While we made substantial progress in 2008, surpassing our revenue guidance for the year, we like many others expect 2009 to be a challenging period for business. I.D Systems is in a relatively good position. We have a strong balance sheet, our solution fit well with the corporate cost cutting strategies of many of our prospects and we are well positioned to weather the current economic storm. However, economic turmoil is changing buying behaviors. Some companies are making technology acquisition decisions more deliberately and applying more stringent standards to the expected rate of return on their investments. We're consequently faced with the less predictability in the near term and therefore reluctant to provide firm revenue guidance for fiscal 2009. Nevertheless from an organic growth standpoint, we would be satisfied with moderate revenue growth in 2009. Thank you for your time today. I look forward to reporting on our continued progress to you in the future. Now let me turn the call over to Ned Mavrommatis, our CFO to review the company's financial results for the year in a bit more detail.
Ned Mavrommatis: Thank you, Jeff, and hello to everyone on the call today. As Jeff noted revenues for the fiscal year ended December 31, 2008 were $27 million, a 58% increase from $17.1 million in 2007, and gross margins for the year were just up over 50%, up from 47.7% in 2007. For the three month period ended December 31, 2008, revenues were $7.9 million compared to $3.7 million for the three months ended December 31, 2007. Gross margins for the quarter were 48.8% compared to 44% for 2007. For the quarter ended December 31, 2008; net loss was $1.2 million or $0.11 per basic and diluted share. Excluding $682,000 in stock-based compensation and a one-time charge of $338,000 related to our auction rate securities, net loss for the quarter was $212,000 or $0.02 per basic and diluted share, compared to a non-GAAP net loss of $1.6 million or $0.14 per basic and diluted share for the fourth quarter of 2007. Excluding stock-based compensation; selling, general and administrative expenses for the quarter ended December 31, 2008 were $3.8 million compared to $3.6 million in the fourth quarter of 2007. Excluding stock-based compensation; research and development expenditures for the quarter ended December 31, 2008 were $657,000 compared to $542,000 in the fourth quarter of 2007. Our balance sheet remained strong. As of December 31, 2008, I.D. Systems had $56 million in cash, cash equivalents, marketable securities and auction rate securities, which equates to $5.14 per share outstanding. In 2008, approximately $4.4 million was used to repurchase shares of I.D. Systems common stock pursuant to a share repurchase program. The program authorizes the repurchase of shares to an aggregate value of up to $10 million, and to-date we have repurchased shares having an aggregate value of $9,970,000. We continue to focus our capital resources on the strategic positioning and the human resources we believe will drive and sustain I.D. Systems growth. We remain optimistic about the opportunities we have before us. I look forward to sharing our results with you as we continue to progress. With that, I would like to turn the call over to Ken Ehrman, our Chief Operating Officer.
Ken Ehrman: Thank you, Ned. And thanks again to everyone joining us on the call today. I would like to review some of our ways our technology has advanced in 2008 and how it contributed to some market-specific deployment successes, and also how we continue to achieve a high level of operational proficiency in rolling out our technology across our customers' enterprises. One of the major engineering projects we completed in 2008 was the development of a high-security, industry standard Wi-Fi communication option that enables our Vehicle Management System to transmit over most existing wireless local area networks. Our Wi-Fi solution has multiple features to assure network security, which is a major concern for companies deploying Wi-Fi. Maximize system reliability, with for example a unique remote configuration capability and preserve data even if wireless connectivity is lost through our patented distribution intelligence. The first customers to deploy the I.D. Systems Wi-Fi solution included a global automotive manufacturer based in Germany, one of the largest food distributors in the United States and the United States Department of Defense. The DoD launched our technology on a fleet of industrial trucks at Sierra Army Depot in 2008. Sierra just hosted a ribbon cutting ceremony on February 25th 2009, to mark the success of that deployment. This well-attended event formally introduced our system to many other DoD facilities. We're optimistic about new opportunities that may result in this large market where asset control, visibility, maintenance and mission-readiness are vital. Our Wi-Fi solution is part of an even broader new package of robust flexible secure wireless communication options we now offer under the brand name SecureStream. Customers can choose the combination of wireless technologies that best fits their application from Wi-Fi, to RFID, to cellular communications. In 2008, we also increased the flexibility and utility of our system software, offering users the choice of either traditional client server architecture or a browser-based system. In both versions, we introduced new more intuitive navigation in a more flexible windows environment. It looks and feels very similar to the types of office programs most of our customers use. And their reaction to this new generation of hosted software has been uniformly enthusiastic. Another application we developed further in 2008 was our AvRamp system for managing airport vehicles. To adjust the needs of the aviation market we enhanced our system with options for browser-based software, cellular communications and hosting again of the software. As a result of this progress, we added our first major domestic airline to our customer base, American Eagle Airlines, as announced on February 23rd, 2009. We also continued to develop new tools in 2008 to manage and analyze material handling operations for the Postal Service. This work, which is funded by postal, extends the scope and application of our vehicle management solution, not just for the Postal Service but for the supply chain as a whole. At the same time, we continue to deploy our core wireless vehicle management solution at U.S. postal facilities throughout the United States. As expected, we resumed an aggressive pace of system installations in 2008, adding more than 30 facilities for cumulative total of more than 110. Another major system rollout we managed successfully in 2008 was for Wal-Mart stores, which expanded its deployment of our Vehicle Management System to a cumulous total of 50 distribution centers in the United States. We continue to maintain a close relationship with Wal-Mart and continue to explore additional opportunities for system expansion within their organization. Lastly, as a technological leader in our space we are proud to have been awarded our fifth U.S. patent on our technology in 2008, in addition, we have over 20 pending patents. With that, I would like to turn the call over to Peter Fausel, our Executive Vice President of Sales, Marketing and Customer Service.
Peter Fausel: Thanks, Ken, and thanks to everyone joining us on the call today. In 2008, we made many significant improvements to our sales and marketing organization that has delivered record revenues and market momentum. The improvements include enhancements in all strategy, talent, process and execution, all necessary to achieve sustainable growth. Our growth strategy continues to be guided by five strategic elements. First, executing a proven solution based sales process, to identify and close new business. During 2008, we developed and refined best-in-class methodologies, to drive visibility to our solutions set, develop compelling value propositions with our target prospects, and close business accordingly. Progress on this element is reflected in the fact that we have added more than 20 new customers and have the biggest pipeline of sales opportunities in the company's history. A key part of our sales process involves the second strategic element; a performance services group that helps a prospect identify and quantify ways our technology can generate value, then after initial system implementation, helps the customer realize the expected benefits and speed the transition to rollout. This group has also been extremely important in the continued expansion of our existing customers, including the United States Postal Service and Wal-Mart. It is safe to say that our Performance Services Group has done a very good job, fulfilling its objectives in both North America and Europe. The third prong of our strategy is to focus on key vertical markets like automotive, government and aviation. As we review some of the new business we won or positioned this year, I think it will clear that this approach is bearing fruit. Fourth; we leveraged channel partners to help fulfill and accelerate our sales pipeline. Many of the deals we won during the year were facilitated by third parties, particularly our wide network of industrial truck dealers. Finally we are intent on growing business in Europe. We established three new customers there this year and worked with the European arm of one of our U.S. customers, all of which will contribute to an expansion of business in Europe in 2009. As a result of these efforts, we deployed our Wireless Vehicle Management System for more than 20 new customers in 2008, including Xerox, the world's leading document management couple; Colgate-Palmolive, the Fortune 200 consumer products company; a division of Nestle, the largest food and beverage manufacturer in the world; Teva Pharmaceuticals, the world's leading maker of generic pharmaceuticals; two major European automotive manufacturers; one tier one automotive industry supplier in Europe; and two others in the United States, the world's largest distributor of electronic technology products; one of the world's leading manufacturers of paper and building products; two of the world's leading heavy equipment manufacturers; one of the largest steel companies in the United States; one of the largest food distributors in the United States; and a leading U.S. wholesale club; and finally, a leading manufacturer of lighting products. I.D. Systems has many core strengths, differentiated and intellectual properties, robust wireless technology and software, strong financial resources and an outstanding base of blue chip customers that generate a significant return on investment using our products. I look forward to working hard to sustain the momentum we've built in 2008 and reporting to you again in the near future on our continuing progress. With that, I would like to turn the call back over to Jeff.
Jeffrey Jagid: Thank you, Pete. That concludes the formal portion of our call. I would now like to open the call to questions.
Operator: (Operator instructions) We'll take our first question from Brian Ruttenbur with Morgan Keegan.
Brian Ruttenbur – Morgan Keegan: Thank you very much. Question on '09. I know you are not giving guidance, but you are hoping for a flat to slightly up, is that what I heard?
Jeffrey Jagid: You are absolutely right, Brian, we have– in light of the environment and some of the unpredictability that results we have decided that we would hold off for now on giving '09 revenue guidance. Although as I mentioned in my opening remarks, you are right, we would be satisfied at this point with a moderate growth over '08.
Brian Ruttenbur – Morgan Keegan: Okay. Can you talk – do you have any kind of numbers that you can give us on backlog?
Jeffrey Jagid: No. Not at – not on this particular call.
Brian Ruttenbur – Morgan Keegan: Okay. How about your plans to cut costs? Are there any?
Jeffrey Jagid: That's an interesting question. I'm not sure which part of our remarks would have resulted in a question like that, other than the economic environment. Needless to say, we have an extremely strong balance sheet. Our cash burn in '08 was de minimus. We believe that there is not exactly a tremendous amount of extra weight, so to speak, at I.D. Systems; I think we've been careful with the way we've built the infrastructure. We do believe that we have to be careful to make sure that as we continue to further penetrate many of our adjusting accounts that were in a position to perform, that does require certain level of staff. Having said that, we are fairly dynamic and we do want to continue to be somewhat revenue driven, so if there is a, is a drop off, we would certainly reconsider any cost cutting initiatives.
Brian Ruttenbur – Morgan Keegan: Okay. Can you talk about what recurring revenue that you see in '09 versus '08. What percentage of your '08 revenue will reoccur?
Ned Mavrommatis: Well, when you look at recurring revenue, comes from two types, right. One is through, what I would call it pure maintenance and support contracts, but also a big percentage of our revenue comes from existing customers, reordering product either for additional facilities or even to fulfill existing facilities. The maintenance and support agreements that we have to-date provide approximately $600,000 per quarter in revenue and that number continues to grow as we build our customer base.
Brian Ruttenbur – Morgan Keegan: Okay. So can you tell us anything about maybe Wal-Mart or UPS, what their plans are for '09? Excuse me – U.S. Postal, not UPS, excuse me, U.S. Postal. In this environment out there, are they pulling in the reins? I would assume that.
Jeffrey Jagid: Let's first of all, I would definitely differentiate the two. So on the Wal-Mart side they continue to derive economic benefit from the use of our product. We will not comment on the call regarding any specific plans for 2009. But it's absolutely part of our plan to continue to penetrate that particular account. As far as the U.S. Postal Service is concerned, the stark reality is that their mail volume fell by an unprecedented 9.5 billion pieces last year. They had a $2.8 billion net operating loss. So they're definitely struggling. Having said that, as we mentioned, were they continue to expand, but in the Postal Services case, I'm a little less optimistic in the short run, but as far as from an annual standpoint, we anticipate continued penetration into the postal account. In addition, we commented in the past that we're working closely with postal on a maintenance program and we would anticipate being in a good position to comment on that in the future as well.
Brian Ruttenbur – Morgan Keegan: Okay. Last question, the marketable securities, what’s the status of that? Are you going to unlock any of that value or are you just going to sit on that or what's the plan there?
Peter Fausel: Sure. During the fourth quarter, UBS, under the settlement we had with the Attorney General of New York, issued a right, and we accepted that right. And basically that right allows us to sell back the auction rate securities to UBS in June 2010 at par. During the fourth quarter, we also had an outside firm come in and provide a valuation for auction rate securities, including that right, and based on their valuation, we took a discount and you'll see it in other loss in our income statement of approximately $338,000 in the fourth quarter. So of that $20 million, we wrote it down by $338,000 and we expect as we get closer to the June 2010 date, that that amount will be written back up.
Brian Ruttenbur – Morgan Keegan: Okay. So your plan is just to wait until June 2010 and unlock that value?
Peter Fausel: Exactly.
Brian Ruttenbur – Morgan Keegan: Okay. That's all my questions. Thank you.
Operator: We'll take our next question from Matthew Hoffman with Cowen.
Matthew Hoffman – Cowen: Hi, gentlemen. First, I'll follow up with the questioning on long-term marketable securities. It looks like you dropped about $4 million net sequentially, but you said I think that there were $300,000 that you wrote-off or wrote-down the value of the asset. What happened to the remainder there from the September quarter to the December quarter?
Jeffrey Jagid: Sure. If you look at the line item on our balance sheet of $34.9 million; that is not all auction rate securities. All of that $34.9 million, $20 million is auction rate securities. The rest is U.S. treasuries that mature over 12 months and that's why they are classified as long-term.
Matthew Hoffman – Cowen: Okay. So you saw a decline in that line, but it went into a current assets. You bumped it up in the cash in that case.
Jeffrey Jagid: That's exactly. Basically as you go into the following quarter, whatever is not due within 12 months goes up into current assets marketable securities short-term.
Matthew Hoffman – Cowen: Perfect. Jeff, coming back to you, obviously it's nice to hear company talking about growth in this environment. And I think I heard your answers there with regard to the pipeline and your plans for the year. And like to first to actually go through your top customers for the fourth quarter. And I'm really trying to calibrate a look into 1Q and then 2Q here. I know you would not going to provide that guidance, but perhaps with a little bit of disclosure here on the customers, we can figure out whether that is U.S. Postal line, just how low we should take it in our models along with the Wal-Mart line. Thanks.
Ned Mavrommatis: Well, this is Ned, Matt. If you look at the fourth quarter, Wal-Mart, Postal Service were our top two clients, Wal-Mart being the largest, and then below that was Walgreens and Ford. So that was the largest four customers.
Matthew Hoffman – Cowen: Were all those 10% customers?
Ned Mavrommatis: No. Walgreens was 6%, Ford was 4%, the Postal Service was 21%, and Wal-Mart was higher than 21%, but we are not (inaudible).
Matthew Hoffman – Cowen: Understood, understood. Last question. Can you give us a breakdown of international versus domestic sales? And then, Jeff, maybe I can get you to comment on your expectation for the international line this year and obviously you are up from a very, very low number historically, but whether you anticipate that that international number going? Thanks.
Ned Mavrommatis: From a percentage standpoint, this is Ned Mavro, Matt, International was –
Matthew Hoffman – Cowen: I'm trying to get Jeff.
Ned Mavrommatis: I don’t have all the numbers but from the international standpoint it was a low percentage. However, that is up from basically zero in the prior year. And during this year and during this quarter, we delivered systems to Audi, Ford, Daimler and Continental Tire, all based in Europe. And they're included in Germany, Spain and France. And I'll let Jeff talk about what he expects about the future.
Jeffrey Jagid: Yes Matt. My sense on international expansion is very similar to how I feel about growth in the near-term and domestically and that is a fairly conservative view. So I do believe that – obviously we're coming off of a low base. So I do expect our business to expand in Europe. But I don't expect any real, I mean, significant growth. I would think the growth there, as well would be moderate. So from a percentage of revenue standpoint, I wouldn't suggest that there would be an increase in percent contribution internationally. But certainly they would continue to maintain at their current levels. So that from a dollar standpoint, I would expect some moderate growth.
Matthew Hoffman – Cowen: Perfect. Good luck out there guys.
Jeffrey Jagid: Thanks, Matt.
Operator: We'll go to next question from Chris Ryder with Lucrum Capital.
Chris Ryder – Lucrum Capital: Good afternoon.
Jeffrey Jagid: Hi.
Chris Ryder – Lucrum Capital: A couple of questions; you mentioned in the opening statement that you had service contracts with all of your large customers but in a answer to one of the questions, you said that postal has yet to be announced?
Jeffrey Jagid: Not precisely. We do have a number of maintenance and support contracts with some of the larger accounts. We do not currently have a national maintenance program in hand with the U.S. Postal Service. But we expect that to change.
Chris Ryder – Lucrum Capital: So in the December quarter, where you discussed the 600,000 recurring maintenance and support, that I'm assuming doesn't include a potential postal recurring revenue opportunity?
Jeffrey Jagid: I'm sorry, in Q4?
Chris Ryder – Lucrum Capital: In Q4, Ned said there was $600,000 in maintenance and support revenue that will be recurring.
Jeffrey Jagid: That's correct. That does not include postal. To the extent that we provide service to various postal facilities, we have some programs in place with individual sites. But what we keep – what we have been working on is an enterprise master service agreement with postal. My personal opinion is that if they weren't dealing with some of these problems that they're dealing with, then we would have that in hand already. But I do remain optimistic that we will be able to get that program. And I guess the source of my optimism, Chris, if I may just comment on it, is that the really, I mean our technology is really part of their every day operation. And in order to continue to use it and derive benefit, it needs service. So they're going to have to, I mean it's almost – it's a requirement that they're going to have to give us this service contract if they want to continue to derive benefit, the most benefit from the technology.
Chris Ryder – Lucrum Capital: Okay. Just to point out interest on Wal-Mart, how many distribution centers do they have?
Jeffrey Jagid: In the U.S. they have about 137. And that includes regional distribution facilities as well as groceries and several other types of warehousing and distribution centers.
Chris Ryder – Lucrum Capital: And so, Ken, what did you mean when you said you were continuing to explore options within Wal-Mart to expand the use of the product? Was that just more distribution centers or more applications at the distribution center?
Jeffrey Jagid: This is Jeff. It's really a combination of both. So right now they focus – their highest priority was on regional distribution facilities and now we are looking to expand not only in the U.S., but internationally with Wal-Mart as well as into different types of distribution facilities.
Chris Ryder – Lucrum Capital: And the last question is regarding the Sierra Ribbon Cutting Ceremony. Was there a certification that the Department of Defense had to award to I.D. Systems before it could be used within the Department of Defense?
Jeffrey Jagid: Well, there are a lot of processes you need to go through in order to be used. We did have to go through a number of certifications. The actual awards, ribbon cutting ceremony culminated the use of the system and basically the collection of the data, about the benefits it provided, which was all certified and signed off by the Colonel who runs the depot and that was kind of the final step in the process which resulted in that ribbon cutting.
Chris Ryder – Lucrum Capital: And what's the significance to – when we talked about this opportunity couple of quarters ago, there was a discussion that it was going to be part of the O&M budget of the Department of Defense, so it wouldn't have a capital equipment requirement. So therefore the ability to rapidly deploy would be easier. Can you give us some sense of what could happen here?
Jeffrey Jagid: 25% of the Department of Defense budget is for maintenance. So, yes, that is something that right now, the way they look at the way they're going to pay for our system is by offsetting the cost of our system by the maintenance budget that they currently have in place to support the support equipment, the industrial vehicles at those depots.
Chris Ryder – Lucrum Capital: So can you give us a sense of what the number of depot opportunities or the size of the opportunity within, now that they've signed off on the use of it, what could that potentially mean?
Jeffrey Jagid: If I quoted the highest ranking Secretary of Defense official, who was at the ribbon cutting, he indicated that there are well over 100,000 support vehicles within the Department of Defense.
Chris Ryder – Lucrum Capital: Okay. Thank you.
Operator: We'll take our next question from Michael Ciarmoli with Boenning Scattergood.
Michael Ciarmoli – Boenning & Scattergood: Hi, guys thanks for the call. Just to stay on that line of that question, what's really the next step to further penetrate this opportunity? Would you guys be working in tandem with another contractor out there or is this kind of an I.D. Systems opportunity only? Just try and help us understand if you are working with anyone else, if there are any partners on the project or is it just you guys alone?
Ken Ehrman: One partner that we have that's been instrumental all along is this National Center for Manufacturing Sciences. It's basically the organization that works directly with the Pentagon with regards to the deployment of maintenance technologies. All of our projects to-date have been through that organization and we continue to expect that the next several programs would flow through that partner as we move it forward.
Michael Ciarmoli – Boenning & Scattergood: Okay. Does winning further orders or winning any orders, is that baked into an already existing '09 budget or do you guys have to wait till the fiscal 2010 budget becomes finalized before you start to see some order flow here?
Ken Ehrman: There is funding in the '09 budget, as well as we already know about program for 2010 funding as well.
Michael Ciarmoli – Boenning & Scattergood: And is that funding for the specific I.D. Systems solution?
Ken Ehrman: Government contracts will probably preclude me from specifically saying, it’s delineated for us, but certainly it is for this application.
Michael Ciarmoli – Boenning & Scattergood: Okay. And then just shifting gear, I guess Peter, not to leave you out; you talked on the last quarter about the sales cycle being shortened dramatically. Can you give us any context around what's happening with those sales cycles? Are you seeing them stretched out a bit with the economy here or you just help us understand what's happening on that end?
Peter Fausel: Yes. Thanks. If I were to clear my throat a bit I haven't had a chance to talk yet. But yes, absolutely, there, some of the deals that seem to be progressing have slowed down as a result of what's going on in the world. With that being said, I think in Jeff's opening comments he mentioned that our technology helped to efficiently reduce cost in operations and it's looked at very favorably, our returns on investment are still extremely strong, in many cases less than 12 months return. And so the analysis is taking longer, but we still have a lot of optimism around many of the prospects, because our projects are continuing to make the cut, even as –
Michael Ciarmoli – Boenning & Scattergood: Okay.
Peter Fausel: They held back their overall investments.
Michael Ciarmoli – Boenning & Scattergood: Okay. That's helpful. And then just one last one. I know in the past you guys had been working with another smaller public company, AeroEnvironment regarding a posicharge solution. Is that still a source of revenue for you guys or are you seeing any orders out of that relationship?
Peter Fausel: Yes, Michael, this is Peter again. Absolutely, we still work closely with them. A couple of our customers are joint customers, between us and the AeroEnvironment posicharge. And in fact, we've recently done a transaction together with that company.
Michael Ciarmoli – Boenning & Scattergood: Okay. Alright. That's very helpful. Thanks a lot guys.
Jeffrey Jagid: Thank you.
Operator: (Operator instructions) We'll go next to Charlie Anderson with Dougherty & Company.
Charlie Anderson – Dougherty & Company: Great. Thanks for taking my questions. Just a follow-up, Pete, with you on a sort of the opportunities, I wonder if you can talk about PowerKey and kind of the outlook for that solution this year.
Peter Fausel: Yes, maybe just some background, I mean, PowerKey really was for company was also the brand name of the product. That really was folded into the I.D. Systems solution set. And so really we don’t differentiate between whether it was PowerKey or it was the I.D. Systems. In fact, in January, we announced a rebranding of the entire product line around PowerFleet and that encompasses both platforms, if you will. So certainly I can tell you that the customers that came along with that acquisition are all still customers and in many cases have expanded the systems. And so I think the integration of the company and their customers is complete and was quite successful.
Charlie Anderson – Dougherty & Company: I just wonder in this economy, if you guys are going to find yourself selling a lower ASP product, things that deliver the ROI a little bit quicker. Just sort of how you're sort of changing the sales process given what you're facing in the economy right now.
Peter Fausel: Right, well, and middle part of last year, we introduced really, and that was facilitated by or maybe the catalyst is a better way to say it, by the acquisition of PowerKey. We really restructured how we want to market with the product and we brought out what we call PowerFleet core and that is our base product that has both a nice starting price point and a very compelling ROI and then we offered our customers almost a Chinese menu of other options that have added both cost and benefit and allows our customers to go through and select those features that are important to them and even start with something that may not reflect a complete solution in the long-term, but something that’s provide a short path. By doing that last year, I think that’s really positioned us well in the deals. And so I would anticipate that probably on a per cost basis our average selling price will go down, but it won't be necessarily reflected in any reduction in either margin and/or eventually what the customer selects from a solution set in the long-term.
Charlie Anderson – Dougherty & Company: And then one last question for Ned. Ned, assuming let's just say for example that revenue is flat in '09 and you guys are able to hold expenses flat, margins pretty flat, do you see a similar cash burn that we saw in '08 then?
Ned Mavrommatis: Yes, absolutely. And if you look at the cash flow statement which we released, the entire change in cash flow from operating activities came from an increase in accounts receivable which we all collected in January. So net-net our cash burn, as Jeff mentioned is minimal. We did use approximately $4.4 million for the cash buyback in '08, which is not going to happen in '09. So, we expect a minimal cash burn at those revenue levels in 2009.
Charlie Anderson – Dougherty & Company: Do you think interest income is pretty fired around on the income statement there or do you come down a little bit because you've kind of gone through some cash through the year?
Ned Mavrommatis: Say that again?
Charlie Anderson – Dougherty & Company: Yes, your outlook for interest income in '09?
Ned Mavrommatis: That should be very similar to what we have in the fourth quarter, the quarterly interest. I don’t expect the cash balance to decrease and I do not expect interest rates to decrease further, so it should be very similar.
Charlie Anderson – Dougherty & Company: Okay, great. Thanks for taking my questions.
Operator: We'll go next to Ross Kohler [ph] with Decker Management [ph].
Ross Kohler – Decker Management: Hey guys, congrats on a good '08.
Jeffrey Jagid: Thank you, Ross.
Ross Kohler – Decker Management: Pete, I wonder if we could drill a little deeper into the pipeline. You mentioned it being at record levels. Is there any way to quantify how it's changed over the last six months to 12 months, and if there are any verticals in particular that you're seeing particularly strengthen?
Peter Fausel: Yes, I guess its kind of a broad brush growth, I would say. Certainly, if you looked at our existing customer base, and maybe our traditional customer base, it really is a growth in those verticals. And whether it's a retail, a manufacturing, we've added I think with some of the aviation prospects now certainly has made addition to the overall pipeline and then again, our European pipeline. But it's not hard to take a look at who our customers are and then look at who their main competitors are and you might guess those are some strong prospects for us.
Ross Kohler – Decker Management: And we know with respect to new customer additions in '08 – or in '09, is there the ability to drive a sort of 20-ish amount of new customers?
Peter Fausel: I would say yes. And in fact, many of our customers today, they start with a single site or even a portion of a single site and then roll out. So we're anticipating that some of the success that we have with new customer penetration in 2008 will be reflected by expansion in 2009, and then clearly we'll want to continue to at least that rate of growth and hopefully an accelerating growth rate.
Ross Kohler – Decker Management: And can you talk a little bit about the AvRamp opportunity. I know we saw the American Eagle deal. But how large is the aviation opportunity?
Peter Fausel: It's a great question. The Class 1 airport, there's 35 of them. And the number of vehicles at those airports is somewhere between 7,000 vehicles and 10,000 vehicles. So, if you just take the top 35 airports, you're in the hundreds of thousands of vehicle range. And this is a nice sized first batch of vehicles at American Eagle. It's also – our system will be covering somewhere A through D at Dallas-Fort Worth Airport. So we're basically going to be installed in all of the – except for terminal E at DFW, so there’s even thousands of vehicles within that campus area, if you will.
Ross Kohler – Decker Management: Great. And then you can talk a little bit about what the sales organization looks like today and are you adding more people and how are you differentiating them between signing up new customers versus penetrating these existing base?
Peter Fausel: Yes, I think we established in 2007, we really built the sales organization and I would think 2008 we really had an incremental headcount and there aren’t plans to add incremental headcount. We are in parallel though continuing to enhance, both the talent pool and the processes involved. So at this point, I would expect that we'll be flat on headcount. In terms of the balance between new account penetration and expanding existing accounts, we do have our sales team that is geographically focused and we also have vertical overlays and within the geographic focus guys have both existing accounts and account plans as well as top 20 sort of target accounts and then the verticals overlay to give us another layer of penetration in those key verticals.
Ross Kohler – Decker Management: Great. Thanks, guys.
Operator: That does conclude our question-and-answer session. At this time I would like to turn everything back over to you, Mr. Jagid, for any additional or closing remarks.
Jeffrey Jagid: Thank you. That concludes the call today and I just want to thank everyone for joining us. Thank you very much.